Operator: Good day, and welcome to today's FEMSA's Fourth Quarter 2024 Results Conference Call. In today’s presentation, all participants will be in the listen-only mode. Later, there will be an opportunity to ask questions and instructions will be provided at that time. This meeting is being recorded. And now I'd like to hand the call over to Juan Fonseca. Please go ahead, sir.
Juan Fonseca: Good morning, everyone, and welcome to FEMSA's fourth quarter and full year 2024 results conference call. Today, we are joined by José Antonio Fernández Carbajal, FEMSA's CEO and Chairman of the Board; Martin Arias, our CFO; and Jorge Collazo, who heads Coca-Cola FEMSA's Investor Relations team. The plan for today is for José Antonio to open the conversation with some high-level comments on the full year results, some thoughts on our capital allocation framework, as well as a quick update on management succession. Martin will then cover our quarterly results, as well as provide more detail on our capital return plans. Finally, we will turn it back to José Antonio for some closing remarks and then open the call for your questions. Antonio, please go ahead.
José Antonio Fernández Carbajal: Thank you, Juan. Good morning, everyone. Let me begin by talking about FEMSA's results for the full year 2024. As you have seen in our report, our consolidated numbers showed double-digit growth across the earnings line items of the income statement, as well as notable margin expansion. These numbers reflect very strong performances at our two largest business units, Proximity Americas and Coca-Cola FEMSA coupled with solid delivery from the rest of the operations. And while numbers are important as we track our progress, I believe there are just as important messages underlying these results. Everybody talks about focusing on profitable growth, but it takes time, effort and skill to build the platforms and the capabilities to achieve that kind of compounding on a sustained long-term basis. For example, when we look at what is driving growth at OXXO in Mexico, while it is important that we keep opening high-productivity new locations, which the team managed to excel at in 2024. It's just as important to look at new capabilities related to data analytics, segmentation and revenue management. These capabilities enable us to adapt our value proposition to an expanding variety of consumer environments, each requiring a different assortment and pricing combination. Similarly, we are increasingly able to develop and offer more sophisticated promotional activities to our supplier partners, as well as provide an ever-growing list of services that give our customers more reasons to visit and more needs that they can certify at our stores, driving and sustaining performance. And then, of course, and just as importantly, we carry many of these capabilities to other territories like Europe, the United States and Brazil and other formats such as Bara our performance drive-through. Likewise, on the Coca-Cola FEMSA front, it has been remarkable to watch the constant evolution of our digital capabilities and how essential they have become to the growth and momentum of business. Just as important is how these digital capabilities are evolving into a platform that will allow us to develop new lines of business and will help us maintain our leadership position in key categories as well as achieve leadership in new ones. Across our business units, we are facing rich opportunity sets and our teams are performing at a high level, which makes us optimistic as we look ahead. The second topic I wanted to discuss today is FEMSA Forward. Two years after its launch, today, we are almost finished with the planned divestitures. Having monetized an aggregate headline amount of approximately $10.7 billion as we simplified our structure and focus on our core business units. On the capital return front, in addition to paying the related taxes. We used approximately $1.7 billion to repurchase our debt under attractive terms. And during 2024, we deployed approximately MXN 44.8 billion or $2.5 billion at the exchange rate at the time of payment in a combination of ordinary dividends of MXN 14.4 billion, extraordinary dividend of MXN 10.1 billion and share buyback of MXN 20.3 billion. However, we are still far from our leverage objective of 2 times net debt-to-EBITDA ex cost. Martin will provide you with more details in a few minutes, but assuming no extraordinary circumstances beyond control and in order to maximize the efficiency of our balance sheet. Our plan to 2025 and 2026 involved accelerating the pace of our capital returns to reach that steady state leverage in a disciplined fashion that takes into account rates, market dynamics and geopolitical perspectives. Our plans for 2025 to be presented at the next shareholders' meeting are to deploy, including ordinary dividends, almost MXN 66 billion or $3.2 billion of current exchange rates over the next 12 months. This amount includes MXN 14.8 billion of ordinary dividends and MXN 51.2 billion of extraordinary dividends and buybacks, representing a 10.4% yield for shareholders at the current market capitalization. Our current plans for 2026 are to deploy, including ordinary dividends, almost MXN 41.4 billion or $2 billion at current exchange rates. This amount assumes an amount equal to this year's ordinary dividend of MXN 14.8 billion plus a minimum of MXN 26.6 billion of extraordinary dividends and totaling an additional 6.4% in yield for shareholders at the current market capitalization. The total sum of the amounts allocated and committed for the next two-year period between 2025 and 2026 is MXN107.4 billion or nearly $5.3 billion at current exchange rates, which represents approximately 17% of the market cap of FEMSA as of the close of yesterday. These actions should significantly help us reach our target level ratio by the end of 2026. As we have stated before, our broader capital allocation strategy aims to drive our long-term intrinsic value per share as we understand that having an efficient balance sheet and returning capital to shareholders play a key role that strategy. Finally, as you probably read in our release and in line with the time frame we discussed on this call last year, during 2025, we plan to carry out the succession process for the position of CEO of FEMSA, which I hold on an interim basis. Since late last year, the Corporate Practices and Nominations Committee of FEMSA's Board of Directors has been diligently working on designing and developing the actions required for this important process. During the Board meeting, we held yesterday, this committee recommended the creation of a special committee of the Board to oversee this process throughout this year. The Board approved this recommendation. The special committee will consist of seven directors, each of whom are independent. The special committee will be chaired by Ricardo Saldivar, who is the Chairman of Corporate Practices and Nomination of FEMSA. The committee will include all the other members of the committee, Gibu Thomas, Ricardo Guajardo and Jaime El Koury, and in addition of them, the following directors will also form part of this special committee, Michael Larson, Elane Stock and Olga González. Upon completion of their evaluation, the special committee will submit its recommendation to the Board of Directors. We will communicate the Board's decision at the appropriate time. In designing and executing this process as in prior CEO designations, we will have adhered to the highest corporate standards we have engaged a leading global firm with extensive experience in such matters, along with other advances from various specialties. And with that, let me turn it over to Martin.
Martin Arias: Thank you, José Antonio. Good morning, everyone. Let me start by talking about the consolidated results for fourth quarter of 2024. In the quarter, we achieved total revenue growth of 12.8%, while operating income rose 31.5% compared to the previous year, reflecting strong performance across our business units. Net consolidated income increased by 78.3% to nearly MXN11 billion, mainly driven by a non-cash change gain of MXN2.7 billion compared to a loss of MXN6.3 billion of last year related to FEMSA's US dollar-denominated cash position, which was positively impacted by the depreciation of the Mexican peso. And it was also a result of a higher net income from discontinued operations of MXN 3.3 billion, reflecting a gain from the sale of Embeda [ph]. Turning to our operating results. Starting with Proximity Americas division. We should note that we began consolidating our US operations on October 1, 2024, reflecting a full quarter of results within the division. For clarity, we are including in our earnings release a column the organic growth rates that exclude the US results. In the first quarter of 2025, we will seek to have additional detail on our disclosure to provide greater visibility on OXXO Mexico and our proximity businesses outside of Mexico. Let me begin by focusing on same-store sales performance for the quarter. Average traffic contracted 2.8%, impacted by a sustained weaker consumer environment that has been present since the midyear elections, and we will expect will carry over to part of this year. Offsetting the decline in traffic, the average ticket increased by 6.8%, driven by our strong commercial capabilities, including segmentation, promote revenue management as well as an increase in prices by our suppliers of key food and beverage categories. The resulting growth in same-store sales was 3.8%. Total revenues for Proximity Americas grew by 13.2% or 8.1% on an organic basis, driven primarily by new store expansion, same-store sales growth and strong commercial income dynamics. Gross margin expanded by margin expanded by 230 basis points, reaching 47.7% excluding the US operations, the gross by 360 basis points. In the recent quarters, this performance was supported OXXO's revenue growth management initiatives, strong commercial income and positive performance of financial services. Operating income increased by 18.7%, well ahead of revenues, while operating margin expanded by 50 basis points to 11.7% of sales, reflecting strict selling and expense control initiatives across regions. On the store expansion front, OXXO added 205 net new stores in the quarter, including 275 openings in Mexico, partially offset by 70 net closures in LatAm, particularly 98 in Chile. Additionally, we continued expanding in Brazil with 30 new net additions. With this progress, we successfully met our store growth objectives for the year reinforcing our commitment to strengthen our presence and scale in key markets by prioritizing regions with higher growth and return potential, in this case, Colombia and Brazil relative to Chile and Peru. Turning to proximity Europe. Total revenues increased by 21.5% in pesos or 5.3% on a currency-neutral basis driven by growth in our retail revenue across countries. Gross profit rose 17.5% in pesos or 1.8% on a currency-neutral basis. The low revenues reflecting changes in mix relative to the comparable period of last year when higher-margin foodservice grew ahead of retail. Valora delivered an increase of 9.9% in operating income or a 4.8% decline on a currency-neutral basis and a 50 basis point dilution in operating margin, reflecting challenging comparison base from the solid results of B2B food service in late 2023. It is worth noting that in 2024, Valora achieved record operating income driven by solid growth in the convenience business and a very stance in the B2B segment. Additionally, disciplined cost management enabled Valora to further support its results despite a persistently challenging economic environment. Moving on to the Health division. Total revenues grew by 13.3% in pesos with same-store sales increasing by 9.4%. This was driven by sustained strong performance in Colombia complemented by steady results in Chile and favorable currency dynamics. Operating income increased by 109.7%, while the operating margin expanded by 250 basis points to 5.5%, reflecting a favorable comparison base against 2023, and we provisioned an uncollectible account of MXN 527 million in Colombia. Pro forma for that effect, the operating income of the Health division would have grown by 9.3%. On the topic of FEMSA Health, as you can see from our press release, who was heading up the multi-format effort within proximity has now transitioned to lead our health operations. ACOBO has a strong track record with more than 35 years in global retail, including the pharmacy sector and we are confident that he will help the division navigate the current environment and capture its various growth opportunities. Turning to OXXO Gas. We continue to deliver solid results posting a 9.7% increase in same-station sales and an 8% increase in total revenues. During the quarter, the gross margin was 12.7%, while the operating margin remained stable at 4.6%. Additionally, our loyalty program in AltaGas continued to deliver strong results with a tender rate of rate of 37% and a redemption of 31%, further strengthening customer engagement. As look at 2025, it's becoming clear that beyond the macro headwinds we have mentioned before, the fuel business in Mexico is facing its own set distinct pressures and we will likely see this reflected in our short-term results. Moving on to digital. The first thing to point out is that our digital ecosystem has now been fully rebranded as spin. And during the fourth quarter, we continued to execute our strategic initiatives to drive growth and maximize the value of our expanding customer base across platforms. Our spin by OXXO platform reached 8.6 million active users, reflecting 24.9% growth year-on-year while the SPIN Premia loyalty program continued its strong momentum, increasing 27.5% year-over-year to reach 24.6 million active users. Today, approximately 40.7% of the sales of OXXO Mexico are linked to SPIN Premia, reinforcing its role in driving customer engagement and return. Building on these achievements, we are leveraging our data analytics from these strong tender levels to pilot personalized offers based on user consumption patterns, enhancing engagement and loyalty. Throughout 2024, we have prioritized operational and cost efficiencies, including the integration of pay functionality with our spin by OXXO platform, which has not only lowered operational costs, but also enhance the overall user experience. These strategic improvements have fostered greater customer loyalty while simultaneously reducing the operating expenses within this business unit. As a result, we can reinvest resources into additional monetization, reinforcing our long-term digital strategy. Finally, Coca-Cola FEMSA delivered its own strong close to a remarkable year, recording double-digit increases across their income statement. This growth was driven by the company's disciplined revenue management strategy and the strategic investment in CapEx throughout the year, which is English production and distribution capacity, enabling Coca-Cola FEMSA to meet rising demand and expand its market presence. Income from operations in the fourth quarter rose by a notable 25%, reflecting their continued focus on operational efficiencies and capturing value across markets despite the challenges posed by flooding in parts of Brazil and Mexico which impacted two plans. For those interested in their detailed results and insights, a replay of Corp's full year earnings call is available on our website. Let me close with a couple of comments regarding FEMSA forward. As Jose Antonio mentioned at the outset, the FEMSA forward brand was launched two years ago. From an execution standpoint, there were two broad faces to the plan. First one related to the divestiture and monetization of non-core assets and the second related to the allocation of the of the result capital, considering our medium-term investment needs in the business, pursuit of potential M&A opportunities, and the return of excess capital to our shareholders in order to optimize our balance sheet to drive intrinsic per share value growth. Regarding the divestiture phase. As of today, we are almost finished with the related transactions. We successfully divested our stake Heineken, our stake in Jetro Restaurant Depot, or JRD, a portion of our stake in Envoy Solutions, now combined into BradyPLUS as well as our smaller legacy refrigeration and plastic business units. We've also announced the transaction for the bulk of our remaining logistics business in customary regulatory approvals. As we take final stock of these divestitures, merits highlighting the fact that the bulk of our major investments delivered double-digit internal rates of return. In particular, the entire Heineken stake and JRD jointly generated total absolute value creation of dividends and pretax capital gains of approximately €7.6 billion and $734 million, respectively were almost MXN 180 billion at current exchange rates. Beyond the divestitures and focusing on the allocation of the resulting capital, certainly, our number one priority is investing in growing core operations. And to that effect, we are in the middle of a multi-year investment cycle across our business units. Regarding M&A, during 2024, we made our first investment in the convenience sector in the US, and we aspire to grow in that important market, but we expect a large proportion of that growth to be organic and thus, not relying on any transactions exceeding approximately $1.5 billion. In terms of our balance sheet management, in addition to paying the relevant taxes, we carry out three separate processes to tender for some of our outstanding bonds and were able to approximately $1.7 billion to acquire $2.1 billion of debt face value. And now that brings me to the capital return to shareholders where we were quite active in 2024. As José Antonio mentioned, we deployed MXN 44.8 billion, or approximately $2.5 billion at the exchange rate at the time of payment through a combination $14.4 billion, or $774 million in ordinary dividends, MXN 10.1 billion, or $542 million in extraordinary dividends and $20.3 billion, or $1.2 in share buybacks. However, given the steady inflows of cash from the divestitures as well as from our operations, we only managed to get our leverage ratio to 0.45x, far from our medium-term objectives of two times net debt to EBITDA, excluding Coca-Cola FEMSA. As a result, we need to pick up the pace this year. FEMSA's Board of Directors has approved to submit to the 2025 Annual Shareholders meeting the following proposals: an ordinary dividend of MXN 14.8 billion, or $725 million at current exchange rates, which reflects an increased unit per unit of 4.2% in pesos compared to 2024, in line with Mexican inflation to be paid in four installments beginning in April of 2025. Number two, pay an additional extraordinary dividend of MXN 32.7 billion, or $1.6 billion at current exchange rates over and above the ordinary dividend to be paid in installments and on the same quarterly schedule and three, allocate to share repurchases an amount of up to MXN 18.4 billion, or $900 million at current exchange rates with such share repurchases to be executed subject to market conditions. Assuming no extraordinary events outside of our control, we also expect to submit at the 2026 Annual Shareholders Meeting plans for an ordinary dividend per unit in line with our recent trend and a minimum additional capital return of approximately MXN 26.6 billion, or $1.3 billion at current exchange rates. All these initiatives have anticipated minimum operation requirements and preserving cash for strategic projects at our activity division, which is why the 2026 amount is set at a minimum. This figure will be reassessed at the beginning of next year based on macroeconomic conditions, visibility regarding strategic projects and our cash generation during the year. The aggregate amount, including ordinary and extraordinary dividends and share buybacks to be deployed in the 24 months represents almost MXN 107.5 billion, or $5.3 billion at current exchange rates, positioning us well to close the gap to our leverage objective of two times by the end 2026. Now let me turn it back to José Antonio for some closing remarks. Please go ahead, Jose Antonio.
José Antonio Fernández Carbajal: Thank you, Martin. As we look ahead, we are fortunate to have a wide runway to continue creating value in every one of our core verticals across markets, but the challenges are always around. There is no doubt that macro uncertainty is up, and we are already seeing a softer consumer environment in our key Mexican market. That will combine with a tough calendar set up for our first quarter performance. However, this only adds urgency to every initiative we are working on to keep driving growth, to keep defending and expanding profitability and to keep creating value. Finally, I want to put this opportunity to thank our entire team for a fantastic job in 2024, and to thank all of you for joining us today and for your continued support and interest in our company. And with that, we are ready to open the call for questions.
Operator: [Operator Instructions] And our first question is from Ricardo Alves from Morgan Stanley. Please go ahead.
Ricardo Alves: Hello everyone. Thanks so much for the call. First of all, congratulations to the transparency and for being consistent with a message around shareholder remuneration and balance sheet optimization. To start off on that point, on the returns proposed for 2025, a pretty impressive commitment specifically on the 3% component as it relates to buybacks, can you expand a little bit on that? How do you execute that? We saw a mix of local buyback in Mexico last year and then a couple of big accelerated share repurchase. Curious to hear, what was your experience with those different possibilities? And what are your thoughts as we go into 2025? The second question on the operations. I think that this one is more longer term, but triggered by the recent trends that we are seeing. I want to see, what are your thoughts when you win aggressive expansion of OXXO store base as we saw last year versus OXXO same-store sales trends and the store level returns. I mean you opened more than 1,000 stores in Mexico last year. And when you look at 2025, I'm curious to hear your latest thoughts, but I think that more importantly, in the longer term, what is the prospect for opening new OXXO or new OXXO stores considering that same-store sales decelerated last year or considering the traffic performance that you see, do you perceive significant differences, for example, in the stores that you are opening right now or in the marginal returns that you see at the new stores that you opened. Is that something that you weigh in when you're thinking about 5 years from now and the pace in which you're going to be opening stores? Or can we still be comfortable with this quite impressed, 1,100, 1,200 stores per year. I mean, impressive numbers, but I'm just trying to see if the marginal returns are still very in line with what you expect with the new openings. Thanks so much for the time, and congrats again.
José Antonio Fernández Carbajal: Martin, would you like to answer the first question?
Martin Arias: Sure. With regard to MXN 900 million, I suspect there will be a mix of purchases on the Mexican Bolsa and through ASRs in order to share repurchases in the US, very similar to what was done last year. There are a variety of legal technical issues that lead us to do it that way. One of them has to do with Windows. We can only be repurchasing during the trading windows. And we can only launch our during the trading windows. Number 2. Sometimes the windows are closed. The problem is we're not really in a position to inform the market when windows are closed because they're normally closed for a reason, which is that we have some material non-public information that impedes us from being able to execute in the market. So, I do expect there to be a mix. They won't happen at the same time, generally but pretty much like we did last year.
José Antonio Fernández Carbajal: Would it be end of this quarter, what it would be fair to say, Martin, within the constraints of the windows and the lower liquidity in Mexico that we'll cut last year, the mix was significantly weighted to the U.S. Would you expect a more balanced? I mean, again, based on what the markets give us.
Martin Arias: Again, it's very hard to do. The advantage that the ASRs do give us is they -- because we can trigger them during a window. And then the bank basically is instructed to operate during a longer period of time. It does allow us to do -- operate in more days and at a bigger volume than would otherwise just operating in Mexico during the windows. So, I would have to tell you that it will depend if some of the windows get closed for any reason, I may have to skew towards ASR because I will have to take advantage of a window and a period of time to execute a larger volume. In an idle world, it would be balanced. So, we give all shareholders all an opportunity to hear in this liquidity. And although people move back and forth AER [ph] and the Mexican shares, the reality is there are shareholders that focus and spread us in both those markets, and we want to make sure that we're try to be as fair as we possibly can.
Ricardo Alves: Right. On the OXXO stores, but yes, we do explain a little bit how we see this?
José Antonio Fernández Carbajal: Mathias is the CFO for our Proximity and Health division, and we asked him to join us to also answer any questions you might have.
Unidentified Company Representative: So, we monitor our expansion and our annualization coming out of our expansion. We don't see any problems at the pace that we have been expanding over the last years. We're very meticulous about monitoring this. So, to the first question, we don't see a problem. And the second piece of the question is going forward, we do have -- we do expect to keep opening those amount of stores even more. But again, this is an exercise that we constantly monitor as long as the annualization of the new store openings, it's under control and creates value for us. We'll keep the pace. There are some new formats like OXXO Smart and OXXO Meters which are -- that we are expanding that created a lot of growth with a very safe and controlled cannibalization ratios for us. So, the answer will be yes.
Juan Fonseca: I would add, Ricardo, this is Juan again. If you remember, during COVID, we spoke about the process for approval of new locations. It became evident back then that we had been opening some stores that probably should not have been opened. And so the team tightened the standards for approvals. And so the later cohorts of stores that we have been opening have been better and more productive than some of the cohorts that were open in, let's say, 2019, 2018. So, the point I want to make is very focused on measuring everything, including changing the requirements for locations to get approved. And that does wonders for the productivity of the stores once they get open. So I think that feeds the confidence that we can keep at current pace for the -- basically the foreseeable future. And to Matthias' point of finding successfully different types of stores, and this actually ties to something Jose Antonio said in his remarks, where this segmentation is allowing the team to get into apartment buildings and office buildings and manufacturing facilities, and have all kinds of different stores that allow us to keep the pace. So I'll just leave it there.
Ricardo Alves: Thank you so much for all the details. And congrats again, everyone.
José Antonio Fernández Carbajal: Thanks Ricardo. Appreciate it.
Operator: Thank you. Our next question is from Lisa Lane from Bank of America. Please go ahead.
Lisa Lane: Hi, and thanks so much for taking my question, and again, for the additional insight you've provided in terms of your capital return strategy. On the topic of cannibalization in Proximity in Mexico, how much of the traffic decline would you say is attributable to cannibalization from these store openings, which I imagine is in marked by design versus other factors? And then how are you thinking about operating and leveraging this year given the wage increases and softer economies? Thank you.
José Antonio Fernández Carbajal: Well, I can say that the traffic has various components, even rain is one component. This last year, we had very much more rain than a year before. Thank God because we needed a lot of water in the country. But it doesn't help our traffic, as you can imagine. But that's one. The second is that it's clear, we noted that clear a slowdown on the second half of the year, because the first half were in presidential campaign, and there were a lot of movements all over traffic everywhere, money on the street, let's say, in a way. So that change, that's definitely changed. And the last thing is, obviously, a little bit of cannibalization. I mean -- but we have -- OXXO has a very good way of measuring what happened to all the contiguous stores of a new location where we open it, and we measure it very clearly, we are cannibalizing on how much damage is the new store doing to the surrounding stores. And up to now, those numbers have not been worried on at all. We have found very good controlled places like campuses and universities or campuses of big manufacturing, but they are even inviting us to install an OXXO adapted to their requirements more foodvenience, less alcohol for example. And they are working very well. So we will continue looking for these new formats that are working very well for us.
Martin Arias: There's the complement that, there's a very detailed exhaustive work that gets done of measuring each store and the hurdle rate that's set internally. And you're not meeting that hurdle rate, the store’s closed. One of the advantages of our businesses is that the amount that we invest per store gets paid back very quickly, and it's a very small amount. So we don't have the traditional pain point of a very, very large retailer that has 2025 year lease and/or has invested tens of millions of dollars in store. In this case, normally, we will just simply close the store, and we're pretty disciplined about that.
Lisa Lane: Great. Thank you so much. And on the team of operating leverage or margins in Mexico, Proximity specifically this year?
Martin Arias: A lot of that probably has to do with labor. I mean when you look at our 2024 results, obviously, the gross margin expansion, and I take this opportunity to talk a little bit about that because it never cease to amaze me how the team keeps finding ways to do that. I mean, we mentioned -- Martin mentioned as he was giving his remarks. If we control for the US, if we take the US out of the numbers, Again, the expansion of gross margin was, I think, 50 basis points. It basically brought the full year above the 300 basis point expansion number, and then in the quarter, we -- that became 50 basis points expansion at the operating level. So clearly, we're losing a chunk of the expansion between the gross and the operating, but a lot of that has to do with the dynamics that we've seen on labor, right? I mean you've seen, I guess, six years of double-digit minimum wage increases. Of course, we've done a lot of things to address that. And that is scheduled to continue at a lower rate. Minimum wage increases are now not 20, but maybe 12. But still, that is the main reason why there's such a big difference between the growth and the operating.
Lisa Lane: Okay. Thank you.
Operator: Thank you. And I will take our next question from Hector Maya from Scotiabank. Please go ahead.
Hector Maya: Thank you. Thank you very much for taking my questions and congratulations on the results. The first one, just if you could help us understand, please, the growth strategy in the US. You mentioned that it would be mostly organic and that you see no acquisitions at $1.5 billion. But we see that there would be interesting players in the space that could acquire in the state closer to the border. So Kentucky could become the fourth largest convenience store player in the US relatively quickly. I mean, comments on most organic growth, what would be sensitive ambition and scale in number of stores market relevance in the US in the near-term?
Martin Arias: This is Martin speaking. During the last few months, and we'll continue to explain it going forward, we'll have a José on the call soon -- on one of these calls soon, he will be able to explain it. There's a series of experiments going on where we're launching OXXO stand-alone stores, launching rebranding existing stores with gasoline stations with value propositions, particularly around food service. And our hope is over the next 18, 24 months; we will get some feedback on those experiments. There are several of them. There isn't just one. And those experiments will then provide us guidance as to where we should be focusing our organic growth. One, I think correctly always says the United States doesn't need more convenience stores. It needs better convenience stores, and we expect to be part of that solution. We don't have an objective of being number two, three, four, five, six. We have an objective of being profitable, at whatever scale that we achieve and to have good returns on the investments that we make. So our expectations of growth will be determined by the success of these experiments that we're undertaking. We do expect to make smaller acquisitions, small bolt-on acquisitions, which arguably are always [indiscernible] play many times of acquiring a good location and then introducing a value proposition to taking advantage of whatever scale you've achieved to improve gross margin, both on Gas and on Merchandise.
José Antonio Fernández Carbajal: I must add that, as you know, OXXO has developed a very, very good practice of organic growth in Mexico. And that capability we have to develop in the United States. That is critical for us to be able to grow organically with very good locations at a good pace. That will be our big -- first and most important way of growing. And obviously finding and being open to certain size of inorganic growth also. And I think it connects sector to -- at the end of the day, connects to returns, right? I think the more you managed to grow organically or I'm going to include there the kind of the bolt-on strategy that Martin was mentioning. The more you're able to do that, the lower the cost of your expansion is going to be and the better chance you're going to have to reset higher returns. So that discipline, you should assume that it's going to be there.
Hector Maya: Thank you. Thank you very much. That's very clear. And also, if I may, if you could help us understand the dynamics that you are seeing in financial services and higher contribution to margins from that and a bit more details on the monetization of the critical mapping speed. I mean, how should we think about timing relevance of new services and spin like potential loans, insurance and how is sense thinking about the potential -- a potential bank license in Mexico?
José Antonio Fernández Carbajal: A couple of good things. We continue to see growth in the financial services and the store continues to be a place where people go for financial solutions. Banks who had left our system have come back to our system for purposes of correspondent banking. We continue to grow OXXO PAY and the number of merchants that use OXXO PAY as an online payment solution within the store. We are taking a lot of time and energy to developing our Remittances businesses. Core to that is the use of new cash registers, which have a safety deposit box below the cash register where we can hold significantly more amount of cash and you have the capability of depositing and extracting money in a safe and secure manner, that I expect to be rolled out by the end of this year to over 3,000 stores, if I'm not mistaken. That will allow us to significantly increase the size of Remittances, we cash out and to provide significantly greater certainty to a consumer who goes to the store, being assured that there will be cash available, while also obviously protecting the security of our employees and of the store. We continue to believe because of the convenience of the store that should continue to grow, while at the same time, we need to prepare for the future. And the future of potential digitalization of certain payments is where spin comes in and creating an ecosystem around loyalty, data, retail media, a wallet well, without a doubt serve as the vehicle for that transition. In the context of creating an ecosystem with all the elements that I added from a digital perspective, we have concluded that we need to have the optionality of offering financial services. And for that -- for those -- that purpose, at some point over the next few months, we will be applying for a banking license. But again, it's incipient. It's starting out -- we're not -- we have no intentions currently to make any large significant bets with regards to credit. We will be experimenting, including exploring the possibility of finding a partner for the credit part of that business to ensure that we do it not only as responsibly as possible, but responsibly and quickly, understanding that those financial services are a key element of monetizing a digital payment strategy. So everyone who is in the game of providing payment and wallet solutions is also exploring financial services generally as a means to help monetize those payment systems. I hope that answers your question.
Hector Maya: Yes. Thank you. Very clear. Thank you very much.
Operator: Thank you. And our next question is from Rodrigo Alcantara from UBS. Please go ahead.
Rodrigo Alcantara: Hey, hi, José Antonio, Martin, Juan, hi, thanks for the space for questions. The first one, especially the one that we are receiving from investors as we speak, is on how confident you are on the ability to keep increasing the gross margin. I mean going more -- I mean, dipping – dug more into Juan's commentary on the gross margin. If you can add a couple to understand to think going forward about the trends on the gross margin by all of -- I mean, by all means of commercial services, financial services, were speaking. So any color on what to expect from you guys on gross margin would be very, very helpful. Again, this is one of the main questions we received, especially as it has helped you guys a lot to offset the labor expenses in Mexico, right? The other question would be a very quick one on Brazil. If you can give us any update regarding your operations there? I mean how you're seeing the customer reception profitability, store profitability? Any commentary that you can give us about the evolution of your business in Brazil would be very helpful.
Martin Arias: Let me take a crack at the gross margin just because I'm the greatest cheerleader for their numbers. Look, first thing I would say is the performance of 2024 should not be the number that you put in -- or anybody puts in their model, right? I mean 300 basis points of expansion is extraordinary and the number I would put in my model is probably one-third of that or less than one-third of that. There's three reasons why the gross margin expands, right? It's commercial income, it's financial services and increasingly, it is kind of the pricing and revenue management capabilities that are being developed. I would say commercial income is it feeds on the scale at the end of the day, right? The more stores we have, the more relevance we have for certain categories the more constructive the conversations become with some of these large suppliers and the more we can help them to grow beyond just the selling of the products and getting into the whole marketing and positioning of the product. So that one clearly has been doing a lot of heavy lifting. I expect financial services to stabilize because there's only so many banks and there's only so many -- although, again, we've been surprised to the upside here in terms of the number of e-tailers and the number of things that people increasingly use the store for -- but if I had to guess, I would expect that the pricing component to be the one that grows with a stable financial services and perhaps slightly diminishing commercial income because there are -- I suppose at some point, you hit some walls. But we've been thinking about this for a long time. And fortunately, we keep being wrong because the team finds a way to expand that margin. And again, I think all of this is -- I sometimes say that scale is the magic ingredient, right? And every day, we're a little bit bigger. With regards to Brazil, just a couple of quick shots. One, the stores continue to do well. You can see in the numbers that we provided in the fourth quarter same-store sales were, I think, 9%. So they continue to do well. We're very happy with how we focused our entry and expansion in the market to make it as concentrated as possible in the state of Sao Paulo not only because of the macro and socioeconomic benefit going to the most -- the wealthiest region in Brazil, but it really has allowed us to create a brand awareness that continues to surprise us, how all of us our friends who know that we work for them to say, "Hey, it's OXXO store". So it currently -- it certainly has had an impact. We also are exploring the idea of using OXXO stores at the gas stations, which has given some promising early results. And then finally, I think the third question that will come up is obviously our partner with some of the financial challenges that they have been facing their willingness and ability to continue to invest with us. We have ongoing discussions with them about that. We have an extremely detailed shareholders agreement. That's very clear on what happens under a variety of different scenarios. And so we feel comfortable, and we will continue to expand our stores in Brazil. We do believe the expansion this year will be a little bit a little bit slower than it was last year. because we now have reached a size and the scale that we need to focus more on operational metrics to improve the profitability of what exists so that, that is a solid base on which you then do the next large wave of growth, again, particularly focused on Sao Paulo state. But at some point, we will achieve the scale that we will even explore other regions of Brazil.
Martin Arias: I believe 20% was the number that given.
José Antonio Fernández Carbajal: And I would just add that, as Martin was saying, we see improvement in sales. We see improvements in gross margins. We see improved expense on spoilage. So in general, all the operational improvements that we are doing. We see them reflected in all the different lines of our P&L in Brazil. So not to get into numbers, but we do have good expectations of keep on improving our economics in Brazil and keep the pace as Martin was mentioning.
Rodrigo Alcantara: Awesome, guys. Thank you very much for the answers. Very helpful.
José Antonio Fernández Carbajal: Thanks, Rodrigo.
Operator: Thank you. We will now take our next question from Renata Cabral from Citibank. Please go ahead.
Renata Cabral: Hi, everyone. Good morning. Thank you so much for taking my question. So on some lines of the question about OXXO Brasil, my question would be actually about Bara. We saw here impressive numbers about the growth in 2024. So I wonder, if you could give us some color about the strategy going forward as you see the results as we see this as a vehicle of growth for the company. Thank you so much.
Martin Arias: Well, on Bara, we're very results about the results with Bara. This is a business that we've been in for a very long time, and we do seem to have hit a sweet spot of things that are going well and have allowed us given us greater confidence with regards to the expansion. Bara historically was fully integrated into OXXO sort of backbone of operations. And so one of the things that we've been doing in order to give Bara, the ability to develop its own set of capabilities, which we acknowledge are quite distinct to OXXO is to separate its operations both from systems, commercial, procurement and distribution. And so part of the reason we haven't been a little bit more aggressive in the expansion is we're setting up those systems in a way that we minimize disruption to Bara and then allows Bara to develop its own path for -- as you know, Bara also has new leadership, Jaime Longoria who went to recently was Head of OXXO GAS. Now we'll be leading the multi-format effort. One of the most important parts of that is Bara, Jaime is an experienced retail executive who's been with FEMSA for a decade. He ran commercial for OXXO for a year. He ran all commercial for OXO for many years. So it's in a very safe hand. Jakob, who was the previous CEO of that business did a great job of solidifying that as a stand-alone platform and so we continue to expect that business to grow. And hopefully, it addresses a need in the market, meaning that we'll continue to have the results it's had.
José Antonio Fernández Carbajal: I'll just add that it's a space that we really like. We've seen how the discount formats have grown in Europe, a bit down in Colombia. And we think there's a big lead way in Mexico. We've been improving our value proposition on that that also we are doing lots of work in private labels, which we consider as key for the format. And we are expanding our presence in Jalisco, our strong growth in Bajío [indiscernible] and we might be opening new regions soon. So very good expectations that we have for the format I would say.
Renata Cabral: All right. Thank you so much for the color.
José Antonio Fernández Carbajal: Thanks, Renata. Thank you. Good luck.
Operator: Thank you. Our next question is from Ulises Argote from Santander. Please go ahead.
Ulises Argote: Hi. Ulises Argote from Santander. Thanks for the added color, you have been providing here. Very, very helpful. Sorry to come back to this – to this one point, but on the traffic dynamics in OXXO, maybe I wanted to get your sense on what you were seeing at the start of 2025. Obviously, it was a bit challenging end of the year there traffic-wise. So maybe if you can just comment on what you're seeing there early 2025? And maybe on some of the specific initiatives that you're kind of taking to turn to dynamics around. The other question I had was on Delek and thanks also for the color there on the experiments that you're running and the way that you will roll out the business. But may be I was wondering if we could figure brain just to see if you can share any color on transfer dynamics that may have surprised you to the upside or to the downside on these first months of operations there in that means in the US. Thank you.
José Antonio Fernández Carbajal: On the traffic question, it's a tricky subject for us because we at the beginning of the year, we're not seeing very good signs on the traffic side. At the same time, we do see a lot of -- we have a very, very -- somebody was telling me it was -- I think it was the coldest January over the last 10 years. So the weather is not helping to a situation of the traffic. But as -- but we've been analyzing this, and we're very comfortable that we're going to be able to recover the traffic down the road. We don't see -- as we were saying before, we don't see any annualization issues. We don't see any pricing or competitiveness out of the value proposition of auction. So we're sure -- we're pretty sure that the traffic situation is temporary.
Juan Fonseca: I would just add, Ulises, this is on the traffic thing. And I think we commented a little bit on this in the last call. Just looking at the full year numbers, the same same-store traffic was down, I believe, 1.5 for the full year. But if we look at the aggregate traffic, it is up about 1.5%. So there's a three-point swing between the same-store sales number and the aggregate number. So clearly, in the aggregate, more people are -- significantly more people are buying, but that's where the kind of the careful cannibalization that Matthias was talking ago comes into play. I think there's no question, and obviously, you cover all of the retailers, everybody on the call is very aware that the softness, and this is something that Martin mentioned in the remarks, ever since the midterm elections or the midyear elections, the consumer environment in Mexico is soft, right? And we're not seeing that pick up, and we're two months into the quarter. So it's become pretty evident that the first quarter is not going to be the quarter where the consumer recovered in Mexico having said that, because everything that we measure either you look at market share dynamics and of course, you monitor the impact of things like weather. It makes us feel pretty good about things. But we also mentioned in the beginning, first quarter, Semana Santa changes quarters. We have one day less. All of it that's up so just to keep that in mind when you're modeling the first quarter.
Jorge Collazo: The second question you asked about Delek. I think the thing that has got the most surprised is that the number of opportunities that have been identified for improving operations. This was a business that was up run by a refiner. And it was a business that was run primarily to push through gasoline. That was primary objective, given that that the bulk of business was at refining. And I think this is a challenge that all the big oil companies and refiners have had of managing retail is a very different business, and it's hard to run it just to push gasoline through. And so I think the team that's been assembled there is constantly finding all sorts of opportunities. In terms of challenges, and this was one we were well aware, this is a carve-out. So one of the things we need to do is create the platform on which this business can operate going forward. And then this is the business on the basis in which we can expand going forward. And that just doesn't refer just to systems and people and so on. It also refers to capabilities that we can transfer there, but we need to transfer the know-how so that then get built and adjusted and adapted to U.S. needs and U.S. issues. So I would tell you that the best thing is the number of opportunities and the biggest challenge is creating the platform. Both of them will see the value creation. They have been confirmed. So maybe surprises not to quite work, but it's the two areas in which we focus on.
José Antonio Fernández Carbajal: Actually, we can even announce you that yesterday, we opened the first OXXO in Texas. Historically, it's a very important day. We transformed one of the Delek stores. We had to change the commercial offer make it more OXXO like aligned to what we do most in OXXO, like Mexico and OXXO, it was launched in Midland Texas will start as measuring in [indiscernible]. Okay? So we are very eager to see how we are evolving, and we will keep on evolving the stores, some of them that are easier to transform and faster to transform to OXXO on these next couple of months.
Ulises Argote: Perfect. Thank you so much for the clarity there and congrats on that for OXXO. Now we'll have to make our way to Texas to test it out. Thank you. Thank you so much guys. Congrats guys.
José Antonio Fernández Carbajal: Thank you.
Operator: Thank you. We'll now move to our next question from Ben Theurer from Barclays. Please go ahead.
Ben Theurer: Thank you very much and good morning. Thanks for squeezing me in. Just a real quick one. As it relates to like your willingness or your openness as to M&A. If I interpret it right, it feels a little bit more muted right now in terms of looking into M&A opportunities. But just wondering what has changed from, call it, roughly two years ago, where it was really having the opportunity to build into the different businesses and M&A felt to be more of a cornerstone of the strategy and now it feels more like a limited you've flagged just a little under MXN 400 million investment in Delek last year, but more return of cash to shareholders. So what's changed? And why is that? Maybe that would be my question I have for you this morning.
José Antonio Fernández Carbajal: I'm going to be bluntly honest with you. I don't think we've changed. I think people have just to be honest, believe in what we've been saying. I've been at up now for the year for a year. I've been telling people don't expect big, large M&A as our entry strategy into the United States, we have repeatedly said, our focus is on the core strategic businesses that we have Coca-Cola FEMSA, which and then proximity and deemphasizing M&A in our health businesses and to some extent in Valora, although there may be opportunities in Valora and that our primary focus was to do what I would consider a small deal in the United States relative to the size of FEMSA. I've always been signaling this number of $1.5 billion. And the team is very disciplined. We have been offered opportunities within the range, and we have said no because they weren't in our view, appropriately priced and/or didn't see our strategic objective of South. I think part of this has been the nervousness around the issue of the amount of cash that we had and the speculation about the cash and what we would do with that cash. But at least since I've been here and I did my first call, I believe, in April last year. We've been sending this and I hope to the extent that people didn't have clarity about our strategy? We are patient. We have a set of controlling shareholders who I have never heard them deviate from everything I've just said to you and my and my instructions mandate from the CFO perspective, we've been very, very, very clear. So I think part of this is just expectations catching up with what we've been saying. And I hope on that regard, there will be greater alignment so that people at least don't have that as a concern. And we have plenty of things we need to worry about. There are plenty of things we need to do $4 billion, $5 billion M&A deal is not one of them in my humble opinion.
Ben Theurer: Okay. And then one last quick one. I know you don't provide that yet. I don't know why, but like kind of like same-store sales dynamic, traffic versus ticket in Europe. Anything you can share that even if it's at a high level to understand a little bit the dynamics of the consumer in Europe.
Martin Arias: We've seen Europe quite stable. Germany obviously has struggled to come back from the COVID level as well as Switzerland. But what we've seen in our business is we're being able from our core business because a lot of the growth in that in Valora came from our B2B business. We do are improving. We are transferring capabilities from Mexico that allow us to improve our economics in Valora in our retail business, which is our core business and things I think we've mentioned in the past that commercial agreements that we improved price internet assortment. So, there are a lot of capabilities that we're transferring and helping the business to be more profitable. But with regard to consumer sentiment, Germany, we've seen its struggling and we expect to continue. So, I mean, obviously, we don't know what's going to happen with all the new government forming out there. But so far in our experience.
Martin Arias: Now, just to clarify why we don't give this information. The European business, really, if you think about it, is four or five businesses as a B2B pretzel business for traffic and those issues are not relevant. Then within Switzerland, we have a retail and a foodservice business. They're very different businesses. We have everything from small start-ups concepts of food service to more mature convenience stores and mature food service business. And then we have the German business, which in Citi retail business and a slightly more mature food service business. And so again, one is I've heard he make this comment in a couple of forums, more and more olefins as we mature is going to do something very similar to what Coca-Cola Femsa did, where we obsess about volume. And now we really assess about share of sales and top line growth because the product portfolio is so diverse that volume per se doesn't really capture. And I think Europe in a way is a little bit ahead of the curve as our businesses mature and the value proposition changes, traffic per se should be less of a concern as opposed to top line growth. So in Europe, this is primarily the reason why we do this. It's not really trying to hide the bar. It's just -- it really would be meaningful. And then we would end up discussing these very nuanced traffic issues in four or five different businesses that would be very hard to explain and would provide much insight.
José Antonio Fernández Carbajal: Having said all that, Ben, I think we are looking for as we look at disclosure, we mentioned for first quarter, we're planning on already making some changes to increase the transparency of OXXO Mexico and some other things that we're working on. Just directionally, we'll keep looking for ways to provide you guys on the market at large with data that allows you to kind of take the temperature of what's happening at the ground level in our different businesses.
Juan Fonseca: I would just add that, for instance, in the Swiss stores, AEC, which are the convenience stores, change towards offering food with fresh food in the sources is huge, and it's moving quite well. That's one of the positive things that we can see. We are testing that to grow all over in Switzerland and maybe even taken it to Germany. So, those are good projects that are very concentrated on Switzerland to take them out to the rest of the sites.
Ben Theurer: Got it. Thank you.
Operator: Thank you. [Operator Instructions] With this, I'd like to hand the call back over to our speakers for any additional or closing remarks.
José Antonio Fernández Carbajal: Well, thank you for joining. Obviously, any follow-ups, any questions that you forgot to ask or that come up later, you know where to reach myself, Pamela, Alex, the rest of the team. And then we'll see you on the road, , many of you in the coming weeks and months. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.